Operator: Greetings, and welcome to the Clean Harbors, Inc First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael McDonald, General Counsel for Clean Harbors, Inc. Thank you. Mr. McDonald you may begin.
Michael McDonald: Thank you, Christine, and good morning everyone. With me on today's call are Chairman, President and Chief Executive Officer, Alan S. McKim; EVP and Chief Financial Officer, Mike Battles; and SVP of Investor Relations, Jim Buckley. Slides for today's call are posted on our website and we invite you to follow along. Matters we are discussing today that are not historical facts are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Participants are cautioned not to place undue reliance on these statements, which reflect management's opinions only as of today, April 29, 2020. Information on potential factors and risks that could affect our actual results of operations is included in our SEC filings. The Company undertakes no obligation to revise or publicly release the results of any revision to the statements made in today's call other than through filings made concerning this reporting period. In addition, today's discussion will include references to non-GAAP measures. Clean Harbors believes that such information provides an additional measurement and consistent historical comparison of its performance. Reconciliations of non-GAAP measures to the most directly comparable GAAP measures are available in today's news release, on our website and in the appendix of today’s presentation. And now, I'd like to turn the call over to our CEO, Alan McKim. Alan?
Alan McKim: Thanks, Michael. Good morning everyone. Thank you for joining us. Starting on Slide 3, before discussing our Q1 results, I'd like to address the Coronavirus pandemic and how we're responding to it. Obviously, the outbreak has created a healthcare crisis and caused economic disruption around the globe, and I hope that all of you and your families are staying safe. Here at Clean Harbors, the safety of our employees is part of our culture and the top priority during this pandemic. As an essential services provider with teams on the frontlines of the COVID-19 crisis, we have instituted rigorous safety protocols and work closely with suppliers to make sure we have the necessary equipment to protect our employees. During the crisis, our workforce has remained out in the field and at our plants supporting our customer's needs across North America, like to acknowledge their hard work and dedication. The workforce representing critical administrative functions has supported our field teams from home and the strength of our systems has allowed that transition to be virtually seamless. Overall, the pandemic had a limited impact on our Q1 performance, but its affects worsen towards the end of the quarter with the commencement of more sheltering place orders in the US and Canada. We expect the virus to impede our business in the second quarter particularly within Safety-Kleen. In addition to limited driving and business activity across North America, Safety-Kleen also has been affected by the shop downturn and the value of base oil. In short, we are faced with some difficult near-term market conditions, and we are taking significant actions in response. Let me touch on some of those actions. Starting with alignment of our cost structure with a demand environment, we are rightsizing our workforce to furloughs and other reductions and implemented a non-billable hiring and wage freeze and we've restricted all travel. We've also gone back to many of our vendors and suppliers to negotiate for savings or improved payment terms. In addition, we've temporarily shuttered nearly half of our re-refining capacity to reflect the current demand for base oil as well as the likelihood of less available used motor oil in Q2 and beyond. From a liquidity perspective, we drew down $150 million on our revolver to strengthen our balance sheet in the event that crisis worsens. We have reset our net CapEx spend plans for 2020 and we've lowered our expected spend by more than 50 million to preserve capital and support our free cash flow for the year. As noted in this morning's earnings release, given current market uncertainty, we're withdrawing our annual guidance for 2020. That said, I believe our strong balance sheet leaves us well positioned to succeed. Turning to Q1 financials on Slide 4, revenues grow 10% from a year ago as both operating segments recorded solid growth. At the same time, our adjusted EBITDA increased to a record 122.6 million, driven by our mix of high value waste streams and how utilization, augmented by projects and emergency response work. Our adjusted EBITDA margin increased 130 basis points to 14.3%. Looking at our segment results, beginning on Slide 5, Environmental Services revenue grew 11% based by contributions from our facilities network and Field Services group and aided by warmer weather nearly all quarter. Adjusted EBITDA growth of 22% was driven by business mix, disposal volumes and emergency response revenue. Emergency response work totaled 21 million, representing COVID-19 decon work and a cleanup of a chemical plant fire. Our disposal facilities are impressive volumes this quarter, as incinerator utilization increased 86% and landfill tonnage grew 39%. Our average price per pound for incineration in Q1 was up 11%, reflecting the record level of high margin direct burn streams that we gathered, overall, another terrific quarter for our environmental service segment. Moving to Slide 6, Safety-Kleen revenue was up 8% primarily by growth in the SK Oil business. Adjusted EBITDA and margin improved on lower SK Oil transportation costs and higher re-refining production compared with a year ago when volumes were disrupted by frozen rivers and flooding. Within the SK branch business, core services performed well. While parts washer services were flat with the prior year, we saw a collection was up slightly to 55 million gallons, blended products accounted for 25% of volume in the quarter and our direct volume was 7%. The first quarter began with positive signs that IMO 2020 was going to enable us to expand, our refining spread high sulfur fuel oil values had fallen and base oil prices were up in early January, but with the oil shock sparked by the global outbreak of the coronavirus, IMO 2020 has largely been sidelined and base has fallen by a dollar a gallon. We entered Q2 with significant pressure on our re-refining spread. And in this environment, the value of used motor oil is on a charge for oil state. In response to the current market conditions, we've significantly raised our charge for oil program. Driving in the U.S. and Canada needs to normalize before our spread and lubricant demand can rebound and we see conditions, when we see conditions improve, we'll consider reopening our closed re-refineries. Turning to Slide 7 given the current environment, our capital allocation strategy as critical as ever, as I mentioned earlier, we are reducing our plan net CapEx by more than $50 million. We divested two businesses in Western Canada during the first quarter, as we continued to steadily shrink our direct exposure to energy. Since we began executing our divestiture program several years ago, we've sold seven businesses for approximately 120 million in proceeds. In terms of M&A, we're not likely to be active near term. Long-term, we believe will emerge from this market downturn stronger both financially and operationally then some of our peers, which will allow us to be opportunistic. For our buyback program, we will likely hold off until we are certain that the domestic economy is on a clear path to recovery. In addition, we'll look to repay the $150 million on the revolver as soon as this crisis shows signs of nearing an end. Looking ahead to our segments, although we have seen some cancellations and project delays to the COVID-19, we expect our environmental service segments to weather the current downturn, well. We expect our decontamination work and growing volumes of infection waste to help offset what would certainly be a larger decline. Within Safety-Kleen, we expect both our branch business and our SK Oil to be hit fairly hard, particularly here in Q2, as stay-at-home order is greatly reduced vehicle travel and generate less use motor oil. Our SK branch business should be bound at a shelter-in-place mandates are lifted and low gasoline prices encourage the rebound in driving. In SK Oil, our refining spread has contracted with a drop in crude, and we have aggressively increased our charge for oil pricing, but volumes are off in near-term demand for base oil has fallen. In summary, our Q1 results demonstrated the strength of our business model, the value of our assets in our frontline role in emergency response, our market leadership, financial liquidity and positive free cash flow will enable us to navigate this global crisis. And with that, let me turn it over to Mike Battles. Mike?
Mike Battles: Thank you, Alan, and good morning everyone. Let me echo Alan’s comments about the outstanding work of our team and everyone on the frontlines of the crisis. The unprecedented events we've experienced in just a few weeks, I think we all have a deeper appreciation for the professionals, especially healthcare workers who puts themselves at risk every day to help those in need. Turning to Slide 9 in our income statement, as Alan indicated, we delivered record first quarter results. Revenue grew nearly 78 million while adjusted EBITDA grew by nearly 21 million. This reflects the mix of business we achieved in the quarter, project work and favorable weather. From a gross profit perspective, we saw a sharp increase in both absolute dollars and on a percentage basis due to higher utilization, pricing and our favorable comp with prior year. Our gross margin increased by 160 basis points from year ago. SG&A expenses were up 14.5 million in the quarter due to the higher revenue, investments in our employees and some onetime items from last year. As we move forward, we are focusing much of our cost reduction efforts in this area to bring expenses in line with our revenue. Depreciation and amortization in Q1 was down slightly to 47.5 million. We completed two small bolt-on acquisitions in 2019 while also divesting several businesses. For 2020, we expect depreciation and amortization in the range of 285 million to 295 million, which is a little lower than last year. Income from operations increased 92% to 45.5 million, a first quarter record reflecting the combination of our revenue growth and improved gross profit. On a gap basis EPS was $0.21 in Q1 versus $0.02 a year ago. Our adjusted EPS was $0.28. Turning to the balance sheet on Slide 10. As Alan mentioned, we drew a 150 million on our revolver during the first quarter, which increased our cash and short-term marketable securities of 494.3 million at quarter end. We saw reasonable AR collections late in March, which led to a healthy cash balance. Our strong liquidity position further protects our company and adds financial flexibility should we need it. Our balance sheet remains in good shape, current and long-term debt obligations at quarter end rose to 1.7 billion, reflecting the drawdown on our revolver. Our weighted average cost of debt is now 4.3% with a healthy mix of fixed and variable debt. Leverage on a net debt basis was 2.2 times for the trailing 12 months ended March 31st. Looking at our most recent cash balance from yesterday, our cash remains essentially flat from where we ended Q1. The team has done a nice job maintaining its focus on collections and managing our spend. Turning to cash flows on Slide 11, cash from operations in Q1 was up slightly at 33.7 million, CapEx, net of disposals and the purchase of our headquarters was 59.9 million, up from a year ago, resulting in adjusted free cash flow in the quarter of a negative 26.2 million, which is consistent with prior year and our expectations. For the year, we are now targeting CapEx net of disposals and purchase of our headquarters in a range of 140 million to 160 million. During the quarter, we repurchased approximately 300,000 shares of our stock, at an average price of $57.41 a share for a total of 17.3 million. As Alan mentioned, we will be cautious in our approach to buy backs until we see evidence that markets are well into their recovery stage. As Alan also noted, given the uncertain market environment, we are withdrawing our 2020 guidance. We're hopeful we'll be able to reinstate guidance with our Q2 earnings announcement provided markets have stabilized. In summary, Q1 was a strong quarter highlighted by several financial records including adjusted EBITDA. We're not for COVID-19 our Q1 results would have positioned us with a fourth straight year of profitable growth. We have taken significant actions in response to that pandemic and are prepared to take additional steps in the event of a prolonged recovery. We are focused on things we can control carefully, including carefully managing our costs and pursuing new ways streams to feed our landfills and incinerators. With that, Christine, please open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Tyler Brown with Raymond James. Please proceed with your question.
Tyler Brown: Hey Mike. Just real quick, can you parse the 21 million of revenue that came from the chemical plant and the deacon work just how much for each?
Mike Battles: Yes, it is about 10 million for the decon work, Tyler, and about 11 million for the chemical spill, chemical fire.
Tyler Brown: Okay. And would you expect both of those to continue in Q2 or is the chemical plant clean up largely complete?
Mike Battles: The chemical plants essentially complete, the decon work will continue into Q2 and beyond.
Tyler Brown: Okay. And then, Alan, I know these are just unprecedented times, but in the SK branch business, I mean, how should we think about revenues there versus the 50% drop in gas station pump volumes that I think we're seeing here in April. I mean, is that a really good KPI to be watching for the SK branch sales? I assume that that correlates very high with vehicle miles driven?
Alan McKim: No, I think, as you know, a lot of the Safety-Kleen businesses is a subscription-based business where we outperform these repetitive services, and we're seeing about a 25%, 30% turn away because of the closures. And so, I think that would probably be a good number to think about the second quarter for the Safety-Kleen brand side of the business.
Tyler Brown: Okay. And then quickly on the SK Oil side. So Alan, if I recall back in 15, you guys talked about having a two month lag on your UMO inventory and that precipitous drop in base oil prices or that precipitous drops make it really difficult to manage the spread to as you kind of flush out those inventories out of the system. So, I mean, if we coupled together the shuttering of half the capacity, it seems like you're going to have an inventory lag issue. Is it reasonable to assume that SK Oil, that piece of SK loses money in Q2? I mean, based on my old model, I think you've lost money in clean performance back in Q1 of 15.
Alan McKim: That's not our expectation right now that, our forecasts, or at least our discussions certainly is that we'll be making money in the second quarter, as a result of all the effort that we're putting in on both the frontend collection side. As well as all obviously going back to our suppliers on our additive side and some of the other costs that go into that business. So, but we were not expecting to lose money in SK Oil in the second quarter.
Tyler Brown: Okay. That's extremely good to hear. And then maybe my last one, Mike, was there an incentive comp of cruel in the quarter, and if so, what percent of normal?
Mike Battles: Yes, Tyler, it was about a $7 million advantage versus our kind of our forecast. So that is, in the 122 for the quarter, there's probably a $7 million reversal of a run rate base. And some -- most of it's in SG&A, some of it's in COGS, depending on the person involved because of the targets are much lower. One point I want to mention before we get into the call is that, in the script I read, depreciation for Q1 was down slightly. It's down slight to 74.5 million. I misspoke and said a wrong number, just want to add.
Operator: Our next question comes from the line of Noah Kaye with Oppenheimer. Please proceed with your question.
Noah Kaye: Thank you and thank you Mike for that D&A clarification, I appreciate that. Can we talk a little bit about the pipeline for the base business? You said in the release, your large quality generators generally and not really much of a slowdown yet. Just talk a little bit about the trends that you are seeing now kind of here at the end of April? What are you seeing from petrochem costumers and chemicals customers generally? How much a volume reduction are you seeing from them? How are you thinking about kind of price mix trends in the second quarter so far?
Mike Battles: Yes. So, this is Mike. I'll start now, and Alan, feel free to jump in here. What we're seeing to your point now is that, we're waste and we had a healthy backlog kind of going into Q1, and we exited the quarter with still a very healthy backlog. The incinerators are running very well and large quantity generators continue. I was seeing signs of a slowdown, we absolutely are. But as I sit here today, I think that the plants still are running well with a healthy backlog of waste streams. And many of the things that we deal with in the large quantity generators, whether it be chemical manufacturing, petrochem, agriculture, we're still seeing agrochem, we're still seeing a lot of that waste streams coming into the network. So, I'm hopeful that that incinerator is going to continue to do well here and kind of carry us for a bit through Q2 and beyond.
Alan McKim: And predominantly, I would say the industries that support automotive are the ones that we've seen impacted from a volume standpoint. But for the most part, our volumes have been pretty good, and like I say, our backlog is still strong.
Noah Kaye: Yes, that's helpful. And then if I could just follow up on the prior question around the COVID decon work, I think you said in prepared remarks unless I misheard that, that will help offset or cushion maybe softness elsewhere. I don't think you talked too much about on the industrial services side of the business, but can we just understand generally what your expectations are based off of kind of current orders and requests for information? And how big do you think, the decontamination work has the potential to be this year from a revenue perspective? Are we talking, another avian flu? Or are we talking something much less than that? Can you dimension it out for us a little bit?
Alan McKim: Yes, I don't think it would certainly be at that level. We've done about 2,500 or so deacons at this point, and some of them is significant and some are small. Probably in the $50 million range would probably be a good estimate right now in what we thinking, but clearly the amount of demand has been significant. We've certainly not to be able to meet all the demands, but we have shifted quite a bit of our workforce. We brought people out of the Safety-Kleen business. We brought people out of our industrial services business to bring them over into our emergency response teams and help compliment the Field Services organization. So, that's worked quite well and continues on as we speak.
Mike Battles: Hey, I want to add to that point. So I think that's a fair estimate $50 million just as good as anything. But really it does depend on, kind of the level of -- and where the economy goes and where there's virus goes right? And so -- and we, I think we have a pretty descent amount of sight to that number for 2020, but who knows, this may become a line of business for a long period of time, right? And so, and we're treating it like that. And so we, certainly at first, as I think about, kind of Q1 and maybe in Q2, it's more like an ER type of event, but as I think going forward, perhaps it becomes a longer term, longer term line of business because frankly it's probably going to be easier for awhile.
Noah Kaye: And maybe just to clarify then, I may have heard the word offset, but I think about this relative to maybe some softness in the industrial, I mean, in past industrial downturns. Obviously, that legacy industrial services business was pretty hard to get Is 50 million kind of enough to offset delays or weakness, do you think in industrial services? Or is that sort of a net negative in your view when you think about industrial and field?
Mike Battles: Yes, I'll start here. So I think that, as Alan said in his remarks, I think that the -- when I think of ES the segment, I think there's going to be softness in industrial services as turned around get pushed out. And I think that this is going to help out. Is it going to kind of balance all of that? It remains to be seen, right? Because in the fall when the turnaround schedule, let's say everything's fine, I'm making that up, who really knows, there's going to be a higher turnaround activity in the fall and maybe larger turnaround, so we may get some of that back. It's kind of hard to say right now, right. And so, I think in the short, I think the kind of work that Alan's mentioning, it'll be really busy here in Q2 offset some of the softness in the ES business, maybe it's okay, but it's tough to say long-term.
Operator: Our next question comes from the line of Brian Maguire with Goldman Sachs. Please proceed with your question.
Brian Maguire: Hey, good morning everyone. Hope everyone is doing well. Okay. And all your families are safe and healthy. Just a couple of questions, one on, sticking on Safety-Kleen, I know, the SK Oil business, I think you used to talk about in a good year, it might do a 100 million in EBITDA, bad year 70, catastrophic year maybe 50, 60. I don't imagine you ever contemplated the kind of environment we're necessarily in right now. I'm just wondering, if I know you're not giving guidance per se, but do those sort of rough guideposts still apply here? Or do you think we're maybe just in uncharted territory?
Alan McKim: Unchartered territory, Brian, I would say that -- I'd say that theory was predicated on us being able to sell everything we made and that was always predicated on the fact that we could sell everything we had, and there was a spot market for that somewhere in the world. And as you well know, and everyone well knows that tanks oil is -- there is a glut of oil. And so that is putting us into unprecedented territory. And that's part of the reason why we had to withdraw guidance because we just don't know what that number is going to be. But it seems like that old theories will come back again someday, but those old hypotheses that we used to share used to be very true for years and years and years, are probably not true in 2020.
Brian Maguire: Yes, that totally makes sense. I guess sticking on that, I was just wondering thinking about 2Q here with the amount of downtime you'll take in the SK Oil. How should we think about the fixed cost absorption on that? Maybe bucketing, you could talk about just how COGS flex in a down volume environment like this? How much of the costs are fixed and you'll be stuck with them? I think you said that you think it will still be a breakeven or slightly profitable so that helps guidepost a little bit but just because about the mix of fixed versus variable costs in a business?
Mike Battles: Yes, so what we've done is, as Alan said in the call, we have shuttered about half our capacity. And so that's really predicated on demand coming back and that's really helped us from a fixed cost perspective. There has been some furloughs associated with that, so that has helped us a bit. We also are looking at kind of every cost and with the lower cost of oil, the additives that we blend with our base motor oil and to make to blended oil is going down quite a bit as well. And so all of that's going to be kind of in this too, and what the exact percentage is in the SQL business between fixed and variables. And I don't have that in front of me, but that's direction what I'm seeing.
Brian Maguire: Okay. Just last one for me. This was maybe more of a longer term question. I guess some of it depends on how quickly we recover here, but the price and mix in simulation has benefited a lot over the last couple of years from some of the higher value waste stream. I think a lot of those have been tied to the petchem projects that have come online in the U.S. and obviously a lot of those were predicated on us being advantaged from a cost point of view, NAT gas and NGL versus global oil prices. Oil where it is today seems like it's taken that advantage away. Obviously the plants are still there, they haven't gone away, but their ability to be competitive globally might be a bit impaired for the time being. I just wondered if that is part of your thinking or if you're seeing any kind of already signs of the backlog in those type 10 way stream starting to dry up or you know, signs that the backlog might be shifting back towards them or some lower value waste streams?
Alan McKim: You know, I think our direct burn business continues to be very strong, and we actually have quite a backlog in that space that continues today. So, I would say that, our competitors as well as ourselves are, I think very strong from a volume and utilization standpoint. We know that there are several captives that are shutting down for an extended period of time. Some of those other results of the COVID-19, where their manufacturing may be impacted and therefore it ultimately it makes sense for them to shut that capacity down and go to instead of having sort of a 25%, 30% operating utilization. So, we are getting more business from former captive operations out there and that's something that we hope will continue. We've had some ongoing discussions with some of our customers who have captive plans and whether that would be a 3 to 6 month kind of project or whether that might be something permanent. But as we said for the last several years, part of our expansion of our El Do plant was because of an anticipation of an increase in volume with a lot of the chemical manufacturing expansion due to low price of natural gas, and we think that model is still intact even regardless of where crude oil is today.
Operator: Our next question comes from the line of David Manthey with Baird. Please proceed with your question.
David Manthey: On the ES strength, is there any possibility that you're starting to see or that you've may see in future quarters of pull-forward of customer turnarounds because of the economic cause, so customers taking the opportunity of low demand to take their facilities down, which could actually lead to a certain volumes for you? But then again, maybe a more lackluster turnaround season in the fall. Is that something you're hearing about possibility?
Alan McKim: We're not David. I think the concern that we hear in some somewhat the reason why people are delaying turnaround is the fear of bringing, 500 or a 1,000 contractors from all over the country into their plants and the potential of having a significant outbreak in the middle of a turnaround, which would be kind of traffic as you know, if you've got halfway through one of these turnarounds at one of these major refineries for example, and then, couldn't get it completed. So it's really, I think more of the delays from what we're hearing is just the concern about the virus rather than the business environment.
David Manthey: Okay, that's good to hear. Thanks for that. Super fund cleanups, if the feds are allowing delays for projects that aren't -- that don't produce imminent danger, have you seen the impact there yet on your field services business and could there be a drag on the project work and landfill volumes through the second half if that situation continues?
Alan McKim: Yes, we definitely saw early in the beginning of the quarter -- the second quarter a number of projects get pushed to the third quarter or even so the fourth quarter. So you're absolutely right. If there's some discretion, and again, I would say it's as much to do with a concern with the virus and it is anything, getting into one of these projects mobilizing a lot of people from across the country and to some of these projects I think can just getting kind of halfway into it and then having sort of a problem with a virus outbreak is more of the concern rather than the spending of the dollars.
Mike Battles: And, Dave, just to add to that, we've had a couple of customers say, they don't want people from certain states coming to their location. So, that's been a challenge for us from a staffing perspective on some of the projects that are going on.
David Manthey: Okay, last quick one here. Alan, you've mentioned aggressively adjusting your oil prices. Is that referring to an increased greater than the $0.70 that you announced in March or not?
Alan McKim: I'm not sure, if I heard the first part of the question.
David Manthey: Well, in your monologue, I think you mentioned aggressively adjusting charged for oil prices, and I'm just wondering relative to the $0.70 you announced in early March is aggressively greater than 70 or up to 70?
Alan McKim: Well again, we're modifying some of our contracts as well because as we look at both WTI and some of the basal indexes that we use those contracts that we have allow us to significantly change. How we price those products or price those customers on the incoming waste outside. So we're certainly working both ends and communicating those challenges to our customers out there. We did have a second increase of fuel point, that was put in place at the end of April and that will be going out between the first and 15th of May. So, we definitely are communicating with our customers to let them know, you know, sort of the real challenges. Obviously when you see crude oil trades trading at $11 a barrel, you see diesel and gas at as historical lows. Most of the customers that we're servicing, the automotive customers, they certainly have seen the gas pump price. And so, they've been working with us and we continue to really manage the spread there as best we can.
Operator: Our next question comes from the line of Michael Hoffman with Stifel. Please proceed with your question.
Michael Hoffman: Thank you all for taking this and wish everyone being safe. Alan and Mike on the emergency response, when you look back to the avian flu, if I remember correctly, there was about a 170 million was tied to that, but it was with the USDA, so was okay margin, but not wow. I'm assuming this margin is much better because you're doing it with private companies.
Mike Battles: Michael, this is Mike. It was 300 million for 18, so not 170. But to answer your question and the margins are pretty good. Certainly, we had kind of what I would say first mover advantage. We did get out in front of this pretty quickly and mobilize the teams. As I look here and kind of current bids, we're seeing the margins have softened a bit because there's more people kind of getting into it and seeing that the value there. So I think we had some pretty good margins early on. I'm assuming they're going to soften a bit as we get into Q2 and Q3,
Michael Hoffman: But they're definitely better than the corporate margin.
Mike Battles: Absolutely.
Michael Hoffman: Yes. Okay. And then when we think about looking at data that's telegraphing this opportunity to incineration your unbilled receivables, can you talk us through how we should read through what that's telling us?
Mike Battles: Yes. Unbilled receivables are just projects that in the middle of a larger project and sometimes they end at the end of the month and we haven't, we can't bill until the actual, the project is complete and that rolls into the next month. And so, that's in my mind as simply a timing item. Michael, I wouldn't read much further into that.
Michael Hoffman: So it looked like a good number. So I was just thinking maybe that helps me support why incineration is going to stay full?
Mike Battles: I mean, the answer is that deferred revenue is still pretty high, and as Alan said in his remarks that, the pipeline coming into it is that still a pretty strong year in April.
Alan McKim: I think, when you think about the deferred revenue Michael it's only done a couple million from the end of 2019, and that is typically both the backlog and waste disposal as well as the patch washer services for Safety-Kleen because they're in a reserve basis as well. So I think that number, that's deferred number is sort of considering what we're talking about.
Mike Battles: The other thing, Michael, we're getting some infectious waste as well, right. So, that's also kind of coming online here in April.
Michael Hoffman: And then, are we in a position to talk about what kind of dollars of costs have been affected so far? And then, I remember on a call we did together about a month ago, $35 million of incentive comp was in the budget, there was $20 million SG&A. And then, if you've done some furloughing or shuttering capacity and then it sounds like these numbers are adding up to $70 million, $80 million potential offsets, and then you deal with the lack of activity as a counter to that. Is that the right way to think about it?
Mike Battles: Yes. Michael, so I'll start and Alan feel free to jump in. So, we're to incentive comp, your rights maybe of the $35 million, maybe 30 that comes back in. I think that's a reasonable modification. T&E is down quite a bit and when shelter-in-place laws are removed, we'll be judicious and trying to get back to travel and that [teeny] number probably stays pretty low for the rest of the year. When thinking about furloughs and other actions that we're taking. And we're in the middle of that right now. And I hate this kind of speculate as to what that ultimate number will be. I think what's going to happen is that we're going to try to address that cost structure to the lower revenue and we're going to be -- we're going to be very smart about that. And Michael, as you know, you've been following us for years and years. We're a cost-conscious organization. We're an industrial services business. We manage our margins tight and we'll take reservations when needed. And we're hopeful that the action we're taking will be sufficient. And if they're not, we'll continue to do it. So it's unfortunate that has to come to be, but that's where we are.
Michael Hoffman: Okay. And then based on the comment made earlier that you -- Alan, you expect SKO to be profitable in 2Q, that's going to probably be your worst quarter therefore it's reasonable to conclude, you'll be profitable for the year. I get it. It's going to be a low number, but that you expect us to be profitable for the year based on the actions you're taking.
Alan McKim: Yes.
Michael Hoffman: Okay. And free cash flow has been a key focus of the Company, it is debt to which you cut the capital spending sort of starting at 225 less than 25 for the headquarters and pull out the 50 million, 60 million, there's your 140, 150. We're going to end up with a pretty decent free cash flow number too then.
Mike Battles: Yes, Michael, I would say that, the two things that are happening in the cash flows that are going to be offsetting the lower earnings, right, will be the lower CapEx as Alan mentioned, as well as, the CARES Act does provide for payroll tax withholds. And I'm sure the other companies are doing the same thing. We don't have to submit in 2020, our component of employer tax and that for a big U.S company with a lot of U.S employees that's actually a pretty material number. That's probably going to be a $30 plus million a winner of a capitalist standpoint in 2020. I don't get too excited because that needs to be paid in 2021 and 2022 we got to pay it back. But certainly in the short term from a liquidity standpoint to help companies like ours make sure that it's lower for longer, we can still do well that payroll tax provision will be a cash flow winner for us here in 2020.
Alan McKim: I think just to add to that point. We realized that a lot of customers are running out there. A lot of our customers are in tough shape and so we're really focusing on receivables making sure that we are getting our bills out the door faster. That's one of the reasons why unbilled actually we’re down about 5 million in the quarter. We're doing everything we can to really stay as tight as we can on our receivables. Our DSO is not improved. We're roughly around 80 days. And, so that's a top focus of us to make sure that we get our cash in the door.
Michael Hoffman: Absolutely and that leads me to my last one and then thank you. Bad debt allowances, how are we thinking about that in the context of historic trends?
Mike Battles: So, normally Michael, we have 8 million to 9 million on a normal year, Q1 was a little higher because we are concerned about some of our small quantity generators, the smaller small automotive shops and their long-term capital structure whenever they can withstand this. But we said we did raise it up a little bit. I'm not sure what the end number is going to be. It's probably going to be, it won't be double. The normal run rate will be a little higher. In Q1, we tried to cover off on some of that bad debt expense normally runs 2 million to 2.5 million a quarter was 4.5% here in Q1.
Operator: Our next question comes from the line of Larry Solow with CJS Securities. Please proceed with your question.
Larry Solow: Great, good morning guys. Good to hear your voices and eco the well wishes. Just a few follow ups, if I may. On the cleanup side, margins sound like probably clean up sound like they're north of the corporate maybe somewhere in that swine flu or avian swine flu range, but maybe the opportunity is less. Is that competitive reasons or it seems like we're still somewhat early in opportunity for cleanups I would imagine, right?
Mike Battles: So, glad to hear your voice as well. You know, we have just competitive rates and what those rates are, we'd rather not give those out. We battle every day with other companies that are out there in our space and I think we offer kind of very competitive rates.
Larry Solow: And on the furloughs and I know you know, too early to quantify, but it sounds like it's certainly biased towards the SK side or even significantly biased towards the SK side. Is that fair to say?
Alan McKim: Not necessarily, I'd say that it's across all three pieces of our business, both the SK side, the corporate section and environmental services.
Larry Solow: Okay. And CapEx, any particular projects, is it more growth projects I assume that are being pushed out a little bit? I mean any more color on what you sort of postponing or delaying?
Mike Battles: Yes, as Alan mentioned that, we took off about half of our re-refining capacity. So there was some CapEx there that they had invested. We also in the business with lower revenue needs less vehicles and so we had some vehicle upgrades and new trucks we were going to put online. And we've slowed those down. And so my view on that is if there's a recovery in the back half of the year, we feel we come back and the end of June and we think that things are looking a little better, maybe it goes a little higher. But I think that, I think for now that's the right important thing to do. And as Larry, we give out CapEx numbers. We hit those CapEx numbers. So team is really good about managing that spend and we'd look at it every week.
Larry Solow: On environmental service, this is a little bit of a higher level question, obviously coming into this year like your businesses as well positioned as it's been several years. And clearly the Q1 performance demonstrates that, very strong backlog. How about this COVID runs for a couple of another quarter where it's full blown out and slowly come back? Is there a scenario where some of your customers began to operate at much lower utilization, so they give off much lower waste volumes and your backlogs starts to you get more and through that we could actually see a lower -- much lower later -- latter part of the year, even if it's '21, even if COVID is sort of somewhat under control?
Alan Mckim: I think particularly in the environmental side where a lot of customers have to move waste every 90 days. We will continue to see the services performed for the majority of those customers. They've been open a lot of our environmental services customers have been open our utilities, our refineries, our chemical companies the pharmaceuticals. The businesses that have really been more shuttered that impact us is on the Safety-Kleen side, and although that also brings in other containerized waste volumes would be less coming in from Safety-Kleen into the clean harvest disposal network that GWS waste. But overall, just based on generation cycles and the need to move waste every 90 days, we anticipate to continue to see volumes coming out of our customers, although maybe if they are doing less, there'll be a less volumes down the road here. But we've been really pleased in listening to our operating teams, we poured in, how much our customers have stayed in business during this shutdown, where all the states have basically been in a shutdown mode.
Larry Solow: Okay. About just, last couple -- just on the price of oil. Obviously the precipitous drop not a beneficiary to SK in the short term, but in a vacuum, just on the environmental side got I suppose that the net benefit, much greater drop in costs for you.
Mike Battles: We have a fuel surcharge, we have and so all prices go up we can charge for and charge our customers a little more. So, it's not necessarily, obviously, lower fuel prices for a lot of medium further investment in the U.S but that's not, that doesn't necessarily mean a short-term linear fall.
Larry Solow: And then, IMO 2020, obviously still early in the game there to work with the shipping industry on there, obviously some significant stress, is there a possibility that there are restrictions and regulations on that get lax for even several years?
Alan McKim: I don't believe so. I don't think we've heard any rumors at all on that being particularly being a UN sponsoring initiative. So we just we saw it coming in, in January, like I mentioned in my notes, but just no visibility right now, Larry.
Operator: Our next question comes from the line of Hamzah Mazari with Jeffries. Please proceed with your question.
Hamzah Mazari: Hey, good morning. Hope you guys are safe and healthy. The first question is just around, if you could give us April trends, a lot of companies have been talking about or have been pulling guidance for talking about what they're seeing in April in Environmental Services and on Safety-Kleen. Just how April compares to Q1 on March or however you want to answer that question?
Mike Battles: Sure. I'll start it and Alan, feel free to jump in. I just -- we had a great kind of pricing quarter for Q1. We had 11% on price in Q1 and I think that was really kind of the high value waste streams that we had in our network and continue to do well. That has continued through what we see as of yesterday. And as I mentioned in my call, Hamza, you know our cash balance was flat to quarter end where kind of where same where it was last year and April versus March. And so again, that I'm really pleased with you know cash collections. And as Alan mentioned, we're consulted a concern about receivables and our ability to collect those receivables, especially from our smaller company generators. And the fact that cash collections have been stabilized has been still decent is still such a great answer for us from the sense of a balance sheet standpoint is really positive news. On the SK side, we’ve seen as Alan mentioned, 30% turn away that's what's happening and oil prices and the impact on ability to both collect and to sell oil in the SK business has been impacted dramatically at Alan mentioned.
Hamzah Mazari: Great. And then, as you had mentioned, the environmental services business, clearly, it's performing very well. Could you maybe talk about how it did in the last downturn and you know how the business is different today?
Mike Battles: Yes, I think in the Environmental Services business, right, what happened back in 2008, 2009, 2010 and industrial services really struggled. That business is a big part of ES, but the margins are much lower. We used to have margins in the mid teens and now when you're in the single digits. So if that business were to slow down and it will slow down in Q2 with a lack of turnarounds, I don't think it's going to have as much of a material impact on earnings, as it did kind of let's say back in the day. The tech service business continued to do well and that business that's slowed down a bit, some pricing pressures, but that continue to do well. I think field service is going to get a huge benefit from the deacon work and that's going to do well here in Q2.
Hamzah Mazari: Great. And then just last question, I'll turn it over. Coming out of this, when we come out the other side, where, where do we sort of stand on the closed loop strategy? Just any update their coming out of this would be great. Thank you.
Mike Battles: We continue to build out our network, our e-commerce platform to support our closed loop. We continue to see broad customer acceptance to that initiative and we'll continue to drive that initiative. But certainly, that's been disrupted here during this closure. So we'll see how customers do coming back as the state start opening up.
Operator: [Operator Instructions] Our next question comes from Jim Ricchiuti with Needham. Please proceed with your question.
Jim Ricchiuti: Thank you. Questions on M&A sounds like things are on hold right now, but I'm wondering how you're thinking about maybe the funnel of opportunity says we start to come out of this. Do you anticipate any potential changes out there in terms of what might be available to you?
Alan McKim: I would think that, there are companies out there that have heavily leveraged there. We see some, competitors at a 5, 6 times leverage and not knowing where their new EBITDA numbers are going to come out. There may be some opportunities for us to look at both some smaller or larger deals where we might be a good partner with them. We certainly had passed around a lot of transactions over the last couple of years as you know, because of the leverage that a lot of PE firms were putting on some of our competitors and the prices that we're paying. But maybe that world is going to change, we just don't know until things settle out here the next 2 or 3 months.
Jim Ricchiuti: Question on the SG&A. I'm wondering, if there's anything, was there anything unusual in that number that maybe you haven't talked about that you can call out from the quarter, anything that we need to be mindful of?
Michael Battle: Yes, Jim. This is Mike. So last year, if you recall, we had about 10 million, little over 10 million of kind of one-time, let's say good guides, if you will. We got a settlement of a lawsuit for about 5.5 million. And then, we sold some receivables that had previously been fully reserved for about 5 million, and so both those items came into, which we talked about they're not a secret, we talked about last year. And so, when you look at year-over-year SG&A increase of 14.5 million about 10 of that or 10.5 of that is due to these kind of onetime items, if we talked about in the call last year.
Operator: Our next question comes from the line of Scott Levin with Bloomberg. Please proceed with your question.
Scott Levin: So, I was hoping to elaborate a little bit or you could elaborate a little bit on the cleaning and disinfection work that you're talking about. Can you give us a sense of what some of maybe those types of mandates? Are those kinds of cleanings of commercial facilities that type of activity? And if you're willing to maybe discuss with the margins, so you guys expect to earn on that or already on that. Are those kind of comparable to either segment or corporates and just a little bit more color regarding the type of activity there?
Mike Battles: Yes, Scott, I'll start in. So, our decon work is really kind of three different areas where we can either disinfect, we can decontaminate and then we dispose, right, we call it D3 system. And so, again, we're really proud of that. And it depends on what you want to answer your question, what do we do? We do it all, anything from large arenas to small office buildings. And so, it depends on what you want? And how fast you want it? And what level of clean do you want to get to it, right. And so, there's a difference between just someone wiping down some handrails versus bringing in a team with the forgers and really doing it in a very detailed level. It depends on what level. It's just the buildings been idle, maybe a lighter touch. This building has some people who've been sick maybe do a heavier touch. And that's something that we just offer a number. And again, I don't want to talk about margins. I mentioned that on an earlier question. I think we'd debate competitive margins in the space. I think that we do. We are nationally recognized. I'm really proud of what we do there. I really think it's great that our employees, as Alan said, have been able to take people keeping a busy in other parts of the business that have been maybe a little slower and getting them engaged and making sure we're doing it safely and compliance with laws, and again, I'm very proud of that.
Scott Levin: Fair enough. And to clarify, you said 50 million in revenue potentially for the year is a decent bogey to think about?
Mike Battles: Yes, I mean if you asked me to pick a number out of the, I can do that. It really is completely dependent upon, the level of infection will happens when, how fast the Company -- the economy start ramping back up again, shelter in place laws get reversed, infection rates I mean it says there's so many variables out there to kind of put a number on it. I mean, I'm happy to try to take a shot at it. That's fine, but anything beyond that is just so difficult to do at this time.
Scott Levin: Fair enough, one last one for you. We have seen some decent size consolidation activity within the space, generally with the Harsco Esol deal and some of the activity with U.S. Ecology. Do you expect any like changes in the competitive landscape over the next year, two years, maybe opportunities to gain share, just any other thoughts around the general landscape from an industry standpoint?
Alan McKim: I think the consolidation is good for the industry. I mean, certainly, having stronger competitors, rational competitors, I always found is really good for the business. And so from that standpoint, when you look at how much money is being paid for those acquisitions that you mentioned, you know, they got to get a return on that investment. And so, our hope and expectation would be is that they're going to be rational and that's going to be good for the industry.
Operator: We have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Alan McKim: Alright, thanks for joining us today. We are participating in several virtual investor conferences in the coming weeks. We look forward to connecting with many of you then. We hope you all stay safe out there. Thanks for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.